Operator: Good day, ladies and gentlemen and welcome to the Chimera Investment Corporation First Quarter 2023 Earnings Call. All lines have been placed on a listen-only mode and the floor will be open for your questions and comments following the presentation. [Operator Instructions] At this time, it is my pleasure to turn the floor over to your host, Victor Falvo, Head of Capital Markets. Sir, the floor is yours.
Victor Falvo: Thank you, operator. And thank you, everyone, for participating in Chimera's first quarter 2023 earnings conference call. Before we begin, I'd like to review the safe harbor statements. During this call, we will be making forward-looking statements, which are predictions, projections or other statements about future events. These statements are based on current expectations and assumptions that are subject to risks and uncertainties, which are outlined in the Risk Factors section in our most recent annual and quarterly SEC filings. Actual events and results may differ materially from these forward-looking statements. We encourage you to read the forward-looking statement disclaimer in our earnings release, in addition to our quarterly and annual filings. During the call today, we may also discuss non-GAAP financial measures. Please refer to our SEC filings and investor presentation for reconciliation to the most comparable GAAP measures. Additionally, the content of this conference call may contain time-sensitive information that is accurate only as of the date of this earnings call. We do not undertake and specifically disclaim any obligation to update or revise this information. I will now turn the conference over to our Chief Executive Officer, Phil Kardis.
Phil Kardis: Thank Vic. Good morning, and welcome to Chimera Investment Corporation's first quarter 2023 earnings call. Joining me on the call are Choudhary Yarlagadda, our President and Co-Chief Investment Officer; Dan Thakkar, our Co-Chief Investment Officer; Subra Viswanathan, our Chief Financial Officer; and Vic Falvo, our Head of Capital Markets. After my remarks, Subra will review the financial results, and then we’ll open the call for questions. The first quarter took us on quite a ride. Some would say like a roller coaster, I would say it was more like the slingshot ride at Coney Island. Despite the volatility, we accomplished quite a lot. We committed to purchase $1.25 billion of diversified mortgage loans, completed three securitizations, reduced the recourse leverage by $237 million and generated a 2% total economic return. And since the quarter ended, we have completed four securitizations including a securitization we expect to close later today, and reduced our recourse leverage by a further $400 million, including reducing our re-performing loan warehouse exposure to zero, all in a very challenging environment. Let's do a quick review of what happened during the quarter. The quarter started with the market expecting a recession by midyear, based on December economic data. We saw rates moderate, our book value increase and the securitization market begin to open up. The Fed responded as expected on February 1, by slowing the pace of rate hikes to 25 basis points. Then on February 3rd, we were whipped in the opposite direction when the January employment report showing extraordinary job growth coupled with upward revisions to last year as jobs data. The news continued in the same direction with increased consumer spending and both headline and core inflation increasing in January. In response to this data, Chairman Powell’s statement before Congress on March 7th was quite hawkish, raising the possibility that the Fed would revert to larger rate hikes, and at the peak rate and the cycle would be higher than previously thought. Soon after his testimony, the July Fed Funds futures contract yield increased to 5.59% and the market expected that rates remain throughout the year. Then, two days later, it was clear Silicon Valley Bank was in deep trouble. And the next day it was put into receivership by the FDIC, and Signature Bank failed over the weekend. The future of Credit Suisse was also overhanging in the market. They set off a period of significant volatility in the rates market. The immediate concern was that the other regional banks would fail or would need government assistance. The markets responded over the next 10 days with the July Fed Funds contract rallying by 110 basis points. Market expectations shifted to easing by the Fed in July, and the expected Fed Funds rate dipped below 4% by year-end. With both, the FDIC and the Fed providing liquidity facilities for the banks, things began to calm, data released in March, so the labor market remained strong and inflation remained high. The Fed responded with a business as usual rate hike of 25 basis points and new dot projections show that a majority of the Fed officials still expected the peak funds rate to be 5.125%. The market on the other hand, continued to disagree and had priced in rate cuts later in the year. Yesterday, the Fed raised rates again by 25 basis points and changed the language to hint that a pause at the next meeting is possible, but also said that their inflation projections do not support a rate higher for longer. The slingshot changes we experienced during the quarter created some unforeseen challenges. The heightened rate of volatility and spread widening that occurred impacted the timing and the execution of the securitizations of the loans we committed to purchase early in the quarter. The extreme rate volatility also had a negative impact on our longer dated hedge instruments, resulting in approximately $34 million of realized losses on derivatives for the period. The net result of this volatility is that while the value of our assets increased during the quarter, our book value per share decreased by only $0.08 or about 1%. The net change in book value plus the $0.23 dividend paid in the first quarter resulted in a 2% total economic return for the period. We believe this demonstrates the strength and resiliency of our loan portfolio. Now, let me take you through our business activities for the quarter. In January, Chimera issued its call rights or exercised its call rights and terminated four existing securitizations, and then issued $586 million CIM trust 2023-R1 and $137 million CIM trust 2023-NR1. This re-securitization enabled us to shift $150 million from recourse borrowings into securitized debt, while receiving about $90 million in cash. Our average cost of debt on the re-securitization was 6.66%. Both securitizations are callable within two years, which gives us the ability to refinance the securitized debt, should interest rates improve in the future. We engaged in these re-lever transactions for several reasons, including our financing exposure to Credit Suisse. As we began the quarter, we had $168 million of recourse financing with Credit Suisse and we knew that they were exiting the business. The re-lever included bonds we had previously financed with CS and the net cash provided time and the opportunities for us to explore new credit facilities to replace CS. We were successful in our efforts which enabled us to reinvest the proceeds from the re-levers. Like any other form of equity raise, there is a lag effect on earnings until the new funds are fully deployed. As discussed in our prior earnings call, during the quarter, we've committed to purchase approximately $1.25 billion of mortgages. Of the total commitments, approximately 57% were seasoned re-performing loans, 39% were non-qualified investor mortgage loans, and the remainder were business purpose loans. With the exception of the business purpose loans, all loans were purchased with the intention to finance over the long term through securitization. The loan characteristics of the seasoned RPLs and BPLs were consistent with the characteristics which currently exist in our portfolio. In March, we sponsored CIM 2023-R2, a rated securitization of seasoned re-performing residential mortgage loans, having a principal balance of $447 million. Securities issued in CIM 2023-R2 with an aggregate balance of approximately $365 million were sold in private placements to institutional investors. These senior securities represented approximately 82% of the capital structure. We retained a subordinate interest in certain interest only securities with an aggregate balance of approximately $83 million for investment. Our average cost of debt on this securitization is 5.95%. We retained an option to call the securitized mortgage loans at any time beginning in March 2028. We continued our securitization activities post quarter. In April we sponsored CIM trust 2023-I1, a rated securitization of non-QM investor mortgage loans, having a principal balance of $236 million. We also exercise call rights and terminated two existing securitization trusts, and then issued a $451 million CIM trust 2023-R3 and a $67 million CIM trust 2023-NR2. This re-securitization enabled us to shift approximately $150 million from recourse borrowing to securitized debt while receiving about $40 million in cash. Finally, we priced CIM trust 2023-R4, a rated securitization of seasoned re-performing residential mortgage loans. And we expect that transaction will close later today. The mortgage loans included loans we committed to purchase in January, as well as RPLs we had on warehouse. And upon closing the transaction, our RPL warehouse exposure will be reduced to zero. We currently expect to close the remaining non-QM investor loans into a securitization during the second quarter. Despite the market turbulence this quarter, we remain optimistic about our future. We believe our continued ability to execute on loan purchases and securitizations, highlights the overall strength of Chimera's franchise value. Our seasoned re-performing loan portfolio continues to perform well from a credit perspective. Our recent EAD challenges are primarily related to our cost of financing, not the credit quality of our portfolio, and not the income generated by the portfolio, which is down marginally over the past year. We note that once rates moderate and begin their decline, our portfolio is well positioned to benefit. We expect our repo financing will decrease when rates fall resulting in a steadily increasing NIM over time. Currently, we have 14 securitizations that are callable this year. The timing on calling these securitizations depends on a number of factors, including the amount of equity to be extracted, new investment opportunities available, the cost of new senior securitized debt, and the overall impact on our balance sheet and income statements. We continue to view this ability to extract equity from our investments as a key differentiator for Chimera amongst its peers and can be a significant source of capital for redeployment. We believe our assets are very strong, and the Company is well positioned when rates begin to moderate. We continue to see interesting and accretive opportunities in prime jumbo loans, RPLs, non-QM, BPLs as well as agency RMBS. While our focus for the past few years has been on RPLs, we expect to continue to diversify our investments over time. We understand the road ahead is not smooth, but new investment opportunities look attractive, and we remain optimistic about our future. We have a great team, outstanding assets and a clear vision. I would now like to turn to Subra to give a more detailed overview of our financial results.
Subra Viswanathan: Thank you, Phil. I will review Chimera's financial highlights for the first quarter of 2023. GAAP book value at the end of first quarter was $7.41 per share and our economic return on GAAP book value was 2% based on quarterly change in book value and the first quarter dividends per common share. GAAP net income for the first quarter was $39 million or $0.17 per share; on an earnings available for distribution basis, net income in the first quarter of approximately $31 million or $0.13 per diluted common share. Our economic net interest income for the first quarter was $69 million. For the first quarter, the yield on average interest earning assets was 5.5%. Our average cost of funds was 4.1% and our net interest spread was 1.4%. Total leverage for the first quarter was 4.1 to 1 while recourse leverage ended the quarter at 1.2 to 1. For financing and liquidity, the Company had $660 million total cash on unencumbered assets at quarter end. We had $1.6 billion of either non or limited mark to market features on our outstanding repo agreement. We had $2.5 billion floating rate exposure on our outstanding repo liabilities. We had $1 billion pay fixed interest rate swap at a rate of 3.26% as a hedge position for our liabilities, and we had $1 billion swaptions to pay fixed for one year beginning in March 2024 at an average rate of 3.46% as a hedge position for liabilities. The Company also had $450 million outstanding short futures contracts to hedge loans for future securitizations. For the quarter, our economic net interest income return on equity was 10.5% and a GAAP return on average equity was 8.6%. And lastly, our first quarter 2023 expenses, excluding servicing fees and transaction expenses were $16 million, modestly lower from the same quarter in the prior year. That concludes our remarks. We will now open the call for questions.
Victor Falvo: Operator, we're ready for our questions.
Operator: I apologize for that. Thank you. [Operator Instructions] And the first question comes from Doug Harter of Credit Suisse. Please go ahead.
Doug Harter: Thanks. I'm hoping you could talk about how you're thinking about the dividend given kind of current earnings power and your outlook for earnings kind of once kind of all of the freed up capital is redeployed?
Phil Kardis: Hi Doug, this is Phil. We recognize that our current dividend exceeds our EAD. But, as we said earlier, we believe our portfolio is strong and it's positively positioned when rates begin to decline. We also believe that we'll see accretive investments come to the market. But on the other hand, we note that rate volatility and the subsequent dislocations in the banking sector, possibly a banking crisis is creating a great deal of uncertainty around the future. And so, while we remain positive, we're going to be keeping our eyes on these kind of developments.
Doug Harter: And, given that it’s kind of uncertain as to when rates decline, kind of [Technical Difficulty] I guess, how are you thinking about, how long or how far into the future you kind of look on kind of the earnings power versus kind of maybe preserving some of that capital for investment opportunities?
Phil Kardis: Yes, I think you actually said exactly how we're thinking about it. As I mentioned, with a -- portfolio, it's still stay strong, our top line revenues still staying strong. Our financing costs are, obviously, what's hurting. And we'll be looking at how long that lasts, what our actual investment opportunities are, and where the market is, and we'll be constantly juggling those things to come to a view. As you said, right now, there's a fair amount of uncertainty. And so, we'll be looking at all that and come to the right balance which we think will be in the best interest of shareholders.
Operator: Our next question is from Trevor Cranston of JMP Securities. Please go ahead.
Trevor Cranston: Can you talk a little bit about the potential opportunities you're seeing coming out of the bank portfolios on the whole loan side? And how much free capital you feel you have available to potentially take advantage of any opportunities like that, or if you might be willing to increase leverage in the near term, if a significant opportunity comes to market? Thanks.
Phil Kardis: I'll start with that and just -- look, as we mentioned, we have 14 securitizations that are callable, and we'll look at the facts and circumstances, and some of them are opportunities. We could look at leverage other sources of capital. As to the kinds of things that we're seeing, and we think I'm going to turn this over to Dan Thakkar, our Co-Chief Investment Officer.
Dan Thakkar: If your question is regarding this FDIC liquidations, the majority of that’s in the agency RMBS. At this point, the stance that we have taken is, even though spreads are pretty wide, we think given the negative technicals in the agency RMBS market, we think spreads can stay here and don't see an imminent catalyst for tightening. So, as Phil said, right now, what we're trying to do is deploy the capital to the extent that become available in non-QM as well as RPL. Does that answer your question?
Trevor Cranston: Yes. That’s helpful. Thanks. And then on the warehouse financing side, can you guys just give some general market color in terms of, if you've seen any changes or impact to the warehouse market, in light of the banking issues and volatility that we've seen over the last couple of months?
Phil Kardis: We have not. We have not seen any impact as of -- currently.
Operator: Our next question is from Bose George of KBW. Please go ahead.
Bose George: Just one for me. What's -- do you have an update per book value quarter to date?
Phil Kardis: We think it's relatively unchanged.
Operator: Our next question is from Eric Hagen of BTIG.
Unidentified Analyst: You've got Ethan on for Eric. Just a couple for me, and I joined a couple minutes late. So apologies if you already answered these. But is there a market yield you would estimate for the loan portfolio? And how does that compare to the yield on your cost basis?
Subra Viswanathan: Well, the yield that on a cost basis we have in our -- sorry, this is for gross. The yield we have is -- the overall portfolio we have is 5.5%. And then most of it obviously is the loans. That's on the cost basis. On the market yield, I mean, it's just really -- maybe Dan or Choudhary can talk about the market yields. It really depends on the asset class, RPL and non-QM investor loans, which is what we've been trading recently.
Choudhary Yarlagadda: Yes. If the question is around the unlevered yields in the non-QM, we see the current coupon close to around 8%.
Unidentified Analyst: Last one for me. Should investors expect you to buy defaulted loans out of the securitization trust in your debt deals, or is the idea to have loans in the trust until a resolution? More generally, what kind of liquidity could you need to support your delinquent pipeline?
Phil Kardis: Okay. This is Phil. Generally speaking, the only time you would need to buy back on our securitizations for certain breaches of repren and warranties. So if a loan becomes delinquent, then we expect the servicer to engage in loss mitigation techniques. For certain of our securitizations, we actually have an asset manager, who sits over top and provide support to them. And to the extent that the loan goes into foreclosure in the REO, then it’s just liquidated within the trust.
Operator: There are no further questions at this time.
Phil Kardis: All right. This is Phil Kardis. Thank you for joining us on this 2023 first quarter earnings call. And we look forward to speaking to you later this year. 
Operator: Thank you. This concludes today's conference. We thank you for your participation. You may disconnect your lines at this time and have a great day.